Operator: Good morning, and welcome to the RE/MAX Holdings Fourth Quarter 2025 Earnings Conference Call and Webcast. My name is Tracy, and I will be facilitating the audio portion of today's call. At this time, I would like to turn the call over to Joe Schwartz, Senior Vice President of Finance and Investor Relations. Mr. Schwartz, please go ahead.
Joe Schwartz: Thank you, operator. Good morning, everyone, and welcome to RE/MAX Holdings Fourth Quarter 2025 Earnings Conference Call. Please visit the Investor Relations section of www.remaxholdings.com for all earnings-related materials, including our standard earnings presentation and to access the live webcast and replay of the call today. . Our prepared remarks and answers to your questions in today's call may contain forward-looking statements. Forward-looking statements include those related to agent count, franchise sales and open offices, financial measures and outlook, brand expansion, competition, technology, housing and mortgage market conditions, capital allocation, credit facility, dividends, share repurchases, litigation settlements, strategic and operational plans and business models. Forward-looking statements represent management's current estimates. RE/MAX Holdings assumes no obligation to update any forward-looking statements in the future. Forward-looking statements address matters that are subject to risks and uncertainties that may cause actual results to differ materially from those projected in forward-looking statements. These are discussed in our fourth quarter 2025 financial results press release and other SEC filings. Also, we will refer to certain non-GAAP measures in today's call. Please see the definitions and reconciliations of non-GAAP measures contained in our most recent quarterly financial results press release, which is available on our website. Joining me on our call today are Erik Carlson, our Chief Executive Officer; and Karri Callahan, our Chief Financial Officer. With that, I'd like to turn the call over to them. Erik?
W. Carlson: Thank you, Joe, and thanks to all of you who have joined us today. In 2025, we built a strong strategic foundation, and we're beginning to see the payoff. We've made great progress in enhancing our brand and our overall value proposition and we view 2026 as a year of tremendous opportunity for our company. Our franchisees, our agents and our loan originators. We accomplished all of this despite 2025 being third consecutive year of a historically slow housing market. began with a major win. As in January, we had the largest brokerage conversion in RE/MAX history, an Ontario family of visionary entrepreneurs and their nearly 1,200 agents joined RE/MAX Canada adding to the market-leading presence we enjoy from coast to coast. Engagement throughout the RE/MAX network reflects growing enthusiasm for our strategic investments in the brand, reaffirming the strength of our overall direction. At the same time, we continue to operate the business with discipline as evidenced by our fourth quarter profit and margin performance, which came in at the high end of our expectations. Given the productivity and professionalism of our network and the resilience of our model, we believe we're well positioned to capitalize on a recovering market. We're continuing to support our affiliates in growing their business and increasing their profitability. In terms of housing data and consumer insights, despite a typically slow start of the year in January, we continue to see the housing market normalizing in various ways, and that is a healthy development. According to our latest RE/MAX National Housing Report, inventory and new listings remain higher than a year ago, and the overall fundamentals suggest we'll have a more balanced market this year. Across many markets, we're seeing early signs of a more even playing field. Seller concessions are becoming more common. The negotiations are more thoughtful. And interest rates are trending downward which helps support buyer activity. We also believe some recent policy proposals could prove to be constructive to housing if effectively implemented, including those aimed at increasing the inventory of single-family homes available to individual homebuyers as well as those that aim to lower the 30-year mortgage rate. Over time, we should also see the lock-in effect of low mortgage rates continue to ease. And the results of our recently published consumer survey show that despite delays caused by affordability and broader economic uncertainty, 88% of prospective buyers still say they're likely to purchase a home in 2026. Market conditions have slowed time lines, but not the underlying demand. Also, buyers said they're looking for more than a house. They want a sense of community, too. That plays directly to our strengths as the most trusted real estate brand in the United States and Canada. RE/MAX agents are local experts who skillfully help consumers navigate complexity evaluate trade-offs and make confident long-term decisions. Turning to our operational performance. As of December 31, our overall worldwide agent count hit another all-time high at over 148,500 agents. The growth of RE/MAX agent base outside the U.S. and Canada continues to fuel new records. And now continue to make progress in stabilizing agent count, as evidenced by our best fourth quarter performance since 2021. In a difficult market, Canadian agent count finished the year relatively flat to 2024, but we started the year with tremendous momentum. It's also worth noting that the reach of our global network enables us to serve an unparalleled number of consumers. In this decade alone, since January 1, 2020, RE/MAX   agents have closed over 10 million transaction sides worldwide. It's an incredible achievement. And as we continue to evolve our strategies, we're exploring new ways to lean into the tremendous opportunity this global sales power presents. As I mentioned earlier, in mid-January, we announced the largest conversion and history of our company. A family of visionary entrepreneurial real estate leaders, Vivian Risi  and her children, Michelle and Justin chose RE/MAX for their 17 office Toronto-based operation, largely to deliver a wider range of tools and opportunities to their nearly 1,200 agents, both for now and into the future. We're thrilled to welcome the Risi's and their talented agents to our network. The Risi also chose RE/MAX for our global footprint, robust referral network and powerful marketing and technology platforms. These advantages should reinforce their agent's productivity and growth potential in a dynamic real estate landscape. This conversion demonstrates that the enhancements to our overall value proposition are working. As brokers both in and beyond our network recognize the power of our current competitive advantages and the momentum that we're building. This landmark conversion is just the beginning. We're increasingly encouraged by our pipeline of conversion, merger and acquisition candidates across the U.S. and Canada. We have a strong slate of sizable opportunities we plan to close and announce in the months ahead. We believe much of the excitement surrounding the RE/MAX brand is driven by the tremendous team effort that has reinvigorated our value proposition. Our innovations are centered on enhancing our competitive advantages and helping agents win more business save time and make more money, which in turn helps increase broker profitability. The new economic models we launched last year, Aspire Ascend and Appreciate continue to provide brokers with greater flexibility and a wider framework for recruiting and retention. While Q4 is always seasonally challenging, our Q4 recruitment rate outpaced last year's building on the positive trends from late Q2 and Q3. The benefits of developing and launching these new options last year should continue to emerge over time. Notably, adoption of Aspire is already over 2,000 agents and the program's educational and technology elements position these newly recruited agents for sustained careers with the network. Announced several months later, Ascend and Appreciate continue to see increasing adoption as word grows about the value they offer. Less than a year after launch, both are still trending upward. We also continue to invest in our digital marketing assets. Our 6-month Marketing as a Service platform continues to gain traction, and the results are very encouraging. For example, listings that are promoted through our platform are delivering 3x more views, 6x more active users and 5x more actions compared to similar listings that have not been promoted on remax.com. These are just some of the initial findings, but they underscore of the product's ROI and value to RE/MAX agents. Overall, the platform is scaling in line with expectations, showing resilient demand, rising paid adoption and strong effectiveness, all of which positions us for continued growth throughout the year ahead. And we've launched a newly designed remax.com and are launching a redesigned remax.ca in Canada. They both incorporate personalized content, AI capabilities that deliver better consumer engagement. Making stronger connections to agents while also furthering our monetization strategies. For example, agents can now turn listings into AI-generated videos with the click of a button. Additionally, consumers can leverage AI to redesign home exteriors and interiors of property photos on our websites, improving engagement and extending the amount of time they spend on site. Our RE/MAX Media Network continues to build meaningful momentum with a healthy mix of programmatic and direct sourcing   Revenue this year is pacing ahead of forecast, which is an encouraging sign. Brands are clearly interested in taking part. So there's an ample reason to expect advertising revenue from the RE/MAX Media Network to increase significantly this year. Additionally, our lead top tier curation program continues to deliver a better agent and consumer experience as conversion rates and corresponding revenue contributions are exceeding our initial expectations. Also from a lead source perspective, we're introducing a golf lifestyle designation. This program will enable RE/MAX agents to be certified as a real estate professionals who understand club, course and real estate dynamics unique to golf properties. Our new program will include training, certification and real estate lease that position participating RE/MAX agents as trusted advisers for golfers looking to find new homes and new communities. Let me now spend a moment on important developments within our mortgage business. As we look across the broader housing and mortgage landscape, one of the consistent themes we see is the need for flexibility, particularly in how independent operators structure their business in these changing market conditions. With that in mind, we rolled out a new franchise royalty fee model earlier this year across the Motto network. The goal here is simple. To better align our economic structure with the realities of today's market was supporting long-term growth with our franchisees and the model brand. This new model reduces fixed cost through a lower flat feet and introduces a transaction-based component that scales with performance. It's designed to provide more flexibility, encourage operational excellence and support sustainable growth over time. This is not a force transition. Existing offices can opt into the new new model if they believe it benefits their business, while new franchisees will follow the updated structure moving forward. That optionality is intentional. Different stages, and we want to meet them where they are. From a strategic standpoint, this approach mirrors the thinking behind our RE/MAX fee model options, aspire send and appreciate which were designed to give RE/MAX affiliates more choice, more control and better alignment with how they choose to grow their business. As part of our continued focus on strengthening the long-term health and competitiveness of the Motto brand,we deliberately chose to terminate a number of franchisees during the fourth quarter. These decisions were rooted in our responsibility to maintain a high-quality system that reflects the standards and expectations required to deliver a consistent borrower experience. We continue to see significant opportunities within our mortgage business. These include leveraging the new fee model to grow the Motto base, drive greater adoption of wemlo processing, both from inside and beyond our motto network as well as exploring additional ways to capitalize on the hundreds of thousands of transactions RE/MAX agents close annually in the United States and Canada. We're also exploring possibilities around the thousands of leads that flow through our digital platforms. Applying both the real estate and mortgage, our fourth quarter achievements and enhancements reflect a concerted focus on strategic growth network strength and a differentiated value for franchisees, agents and loan originators alike. As we look across both industries, the pace of change requires brands to offer scale without sacrificing local expertise. All we're providing that constant support and value to our customers. And we continue to lean into our RE/MAX and Motto networks and the enthusiasm we see is very real. That enthusiasm has been fueled by the energy of new leaders who have recently joined the team. One of those inspirational leaders is Chris Lim who we just promoted to President and Chief Growth Officer of RE/MAX. Over the past 13 months, Chris has helped to modernize operations, increase support services, expand our value proposition and elevate the way consumers perceive this global brand, especially on our digital platforms. He brings a creative upscale mindset to every project and played a direct role in several major brokerage conversions, most notably in Hawaii and Ontario. Chris, congratulations. As we look toward the rest of 2026, we remain focused on executing our comprehensive growth and revenue strategy. Last year, we brought a new leadership, launched new products and services develop new economic models and strengthened the foundation for our future. This year, we're focused on driving adoption, managing outcomes and ensuring that our company and networks continue to win. With that, I'll hand it over to Karri.
Karri Callahan: Thank you, Erik. Good morning, everyone. As Erik said, we are encouraged by our fourth quarter operating results and overall financial performance. Profits for the quarter landed at the high end of our expectations, and our revenue performance was solid despite a challenging housing market. Some of our notable quarterly financial highlights included total revenue of $71.1 million adjusted EBITDA of $22.4 million, adjusted EBITDA margin of 31.5% and adjusted diluted EPS of $0.30. Looking closer at revenue, excluding the marketing funds, revenue was $53.6 million, a decrease of 0.4% compared to the same period last year, driven by a decline in organic revenue of 0.4% and flat foreign currency movements. The decline in organic revenue was driven mainly by a reduction in U.S. agent count and the impact of recently introduced incentives, including the Aspire program partially offset by an increase in broker fees and revenue contributions from our new initiatives, including marketing as a service and from the monetization strategies from our flagship website. Fourth quarter selling, operating and administrative expenses increased $1.6 million or 4.4% to $37.3 million. This increase was primarily due to losses on sale and disposal of assets an increase in expenses from the timing of other events, partially offset by a reduction in certain personnel-related expenses. The resilience of our franchise economic model and our ongoing evaluation of every aspect of our business, has resulted in our ability to continue to delever despite a challenging macro and housing environment. Our total leverage ratio decreased to 3.12x as of December 31. A continuation from last quarter, our total leverage ratio remains below the 3.5x level, affording us greater flexibility from a capital allocation perspective. And importantly, we currently expect to remain below that 3.5x level throughout the year. From a capital allocation perspective, our priorities remain unchanged. We're strategically reinvesting in the business, and we'll continue to build our cash reserves. Now on to our guidance. Our first quarter and full year 2026 outlook assumes no further currency movements, acquisitions or divestitures. For the first quarter of 2026, we expect agent count increased 1.5% to 2.5% over first quarter 2025, revenue in a range of $69 million to $74 million, including revenue from the marketing funds in a range of $16 million to $18 million and adjusted EBITDA in a range of $14 million to $17 million. And for the full year 2026, we expect agent count to increase 1.5% to 3.5% over full year 2025, revenue in a range of $285 million to $305 million, including revenue from the marketing funds in a range of $66 million to $70 million and adjusted EBITDA in a range of $90 million to $100 million. With that, operator, let's open it up for questions.
Operator: [Operator Instructions] Your first question comes from the line of Nick McAndrew with Zelman & Associates. Your line is open. Please go ahead.
Nick McAndrew: Questions. Maybe just to start, I think as the earlier Aspire cohorts moved beyond kind of the onboarding phase, can you just talk about what you're seeing with those earlier cohorts just in terms of agent developments or productivity as some of those agents move through the program?
Karri Callahan: Sure. Nick, we continue to be really excited about the Aspire program. We know that we see significant reduction in the churn of our agents as we move them up the productivity cohort. . And as we've seen in the -- it's really early that, that cohort is very small. But as those agents have gone through, we are seeing some upticks in productivity as they go through and they do the training and they get engaged with our tools, we are seeing some improvement in productivity, and we're also seeing improvement in retention within that cohort. I think importantly, as Erik said in the scripted remarks, in addition, the ASPIRE program in and of itself is really spurring recruiting activity for our brokerages. So the optionality that the program offers, I think, is another thing that has really been beneficial as we've seen the continued stabilization from a U.S. agent count perspective here in the fourth quarter, best fourth quarter since 2021 and a continued trend from Q2 and Q3.
Nick McAndrew: Got it. And I guess, second, just a follow-up. Congrats on the 1,200 agent Canadian addition. And I'm just curious on whether it's the new comp structures, brand positioning or tech offerings, like anything to call out on just what's resonating with that agent base that's coming through RE/MAX and just any factors that might have led them to end up choosing remote.
W. Carlson: Yes, Nick, this is Erik. And I appreciate you saying choosing RE/MAX because that's actually the way we look at it. And I think it's a combination of all of the above, to be quite frank. I mean, about a year ago, obviously, we launched the brand modernization. We've done a lot of really hard work on our value proposition. We've showed up with different people from a leadership perspective. we're really leaning in to the network. And as we're talking to prospective clients about the RE/MAX opportunity, it's not only just about tech and our education and the community, it's our global footprint, right? So 148,000 plus agents in 120 countries. -- real estate today, although it's still very local, it is worldwide. And so we're really proud of, obviously, the footprint that we have, but the tools and processes that we're putting in place to help agents and consumers find great agents around the world, right? So our MAX referral program is continuing to see improvements and additional transactions, which is very healthy. So I think the RECs are just such a tremendous family and well respected, obviously, in real estate, we're super excited that they chose RE/MAX as the next partner for [indiscernible] tomorrow. There's simply an outstanding group, and we're seeing very high retention rates right now with agents which tells us, one is Vivian and her team have a lot of respect, but also agency value in our brand and what it represents today and in the future.
Operator: Your next question comes from the line of Dae Lee with JPMorgan/please go ahead.
Dae Lee: Great. I guess my first one is on -- there's a lot of talk about the tutor AI-driven automation to change the industry. I'm curious like how like what are franchises in redefining optimistic about AI? And how are they responding to the automation derive. .
W. Carlson: Yes. Dave, it's Erik. I'll give you a little bit of context on how we think about it and some of the feedback that we're getting from our network. I think AI for the sake of is a mistake. And I think that we're trying to be very purposeful on how we deploy automation technology, and obviously, some of that is our network, and I think just real estate agents and/or brokerages in the industry are very curious about it. there's a sense of, hey, I need to lean in. There's a sense of I'm scared of it. What we try to do here at RE/MAX is be purposeful in our approach. And so you're seeing us deploy tools and services like Max AI which resides on remax.com and CA, which helps nurture leads and helps consumers find the right real estate agent within the RE/MAX network. You're seeing us use tools from our partners at old trail like  [indiscernible] which helps to really automate workflow within the e-mail system. You'd be surprised how many agents still use e-mail as a primary method to correspond with consumers, whether on the buy side or the sell side and get business done. So automate some of that work. At a very high level day, like our purpose here is to help agents win listings and win more business, do it in less time and make more money. And so when we think about AI, we think about how we can deploy AI to help achieve those 3 goals. So you're seeing us deploy whether it's through kind of our CRM and symptom and helping folks nurture their contacts, whether it's in back-office-type operations, to help automate and take cost out of the business or whether it's with consumers to help engage and find the right property, the right listing, the right agent for them to be successful. So we're -- I would chalk it up as we're taking a very purposeful approach here, but really leaning into our North Star to help agents be more successful in the market.
Dae Lee: Got it. Helpful. And then as a follow-up, I'm encouraged to see momentum into 2026. I'm just curious, what are the key swing factors in the high versus the low end of your guide you're 20x revenue guide? And which KPI should we be tracking to see revenue tilt to the high and that is just positive growth for the year? And does that include U.S. business returning to positive growth as well.
Karri Callahan: Yes. Great question. It's Karri. So I think we've been -- as Erik said, we try to take a purposeful approach to everything. I think that there's definitely some opportunity to push to the higher end. Obviously, we're in the -- we just finished the third straight year of a pretty depressed housing cycle. -- anything from a macro perspective would definitely be a tailwind and pushing us up to the higher end of that guide. We obviously can't control what's happening from a macro perspective. But I think we've done a great job really reinforcing the value proposition and really focusing on what we can control. So further stabilization and kind of growth from a U.S. agent count perspective. Erik mentioned in the scripted remarks, some momentum in the pipeline on the coming months in terms of additional conversions mergers and acquisition activity, that would be a tailwind in terms of acceleration beyond what we see today. And then with respect to some of our new monetization initiative, marketing as a service as well as our digital channels monetization opportunities. we're seeing significant growth year-over-year. But if that outpaces kind of our current forecast, which we're already pleased with the growth that we've included, that those are other levers that could push us to the high end of the range. .
Operator: Your next question comes from the line of Tommy Mcjoint with KBW. Please go ahead.
Thomas Mcjoynt-Griffith: Question on the Aspire program and the impact on the broker fee revenue line. Just wanted to get a sense of the magnitude of how much it impacted it this quarter. And then secondly, it seems like you're going to recognize that ratably throughout the year. So is there a chance for a major kind of true-up at year-end if volumes end up drastically different than you're expecting? Or how could that impact that? .
Karri Callahan: Yes. Tommy, it's a great question. As Erik mentioned on the scripted remarks, we do have about 2,000 agents now that are on that and so we're seeing good adoption. And as I mentioned earlier, I think importantly, more than anything, we're also just the program offer optionality. In terms of the broker fee impact to it was not that significant, kind of a couple of hundred thousand dollars, maybe $0.5 million. With respect to just kind of how the activity will get recognized, it's just going to smooth things out a little bit over time. So we're going to start to see a little bit less seasonality in the broker fee line. To the extent that participation in that program grows. So as there's more participation, we can provide more guidance. So there's a little bit of impact in Q4, but it really wasn't that pronounced.
Thomas Mcjoynt-Griffith: Okay. Got it. And given RE/MAX's sort of vast network and a number of agents, .
Operator: Your next question comes from the line of [ Valentin Alvar ] with Jones Trading.
Unknown Analyst: So just regarding your disclosure on the earnings release relating to selling, operating and admin expenses, can you give us some idea of ongoing versus onetime cost pressures, just to gather an idea of the run rate.
Karri Callahan: Sure. also, it's Karri. So with respect to kind of what was in the information. There was a couple of things that were a little bit unusual and onetime in nature. We did have about $1 million charge with respect to some sale and disposal of assets. That won't continue into the future. And so as we think about what that kind of looks like going forward, the year-end kind of Q4 run rate of SONA looks actually to be pretty consistent into Q2, Q3 and Q4 of this year once you normalize for that. Keep in mind that Q1 is always a little bit higher for us. We're really excited for next week, which is our annual agent convention in Las Vegas. We've got over 60 countries represented and a lot of agents coming from all over the world to really experience the momentum that we're building from a RE/MAX perspective. But that does result in a little bit of increased investment in Q1, and that should look pretty consistent to Q1 of '24 and Q1 of '25.
Unknown Analyst: Got it. for the additional info there. Switching gears a little bit. With where the stock is at today and the mortgage rates remaining near the 6% mark, are you more likely to engage in additional share repurchases versus Q4 also?
Karri Callahan: Yes, Valentin, it's a great question. I think when you look at our model from a recurring fee perspective as well as the significant earnings to free cash flow generation that the franchise model is able to generate -- we're really pleased with the fact that we're from a leverage perspective below that 3.5x level for a couple of quarters now. So we do have some increased flexibility now as it relates to return of capital. So I think we're taking -- just given what's happening from a macro perspective, we're taking a prudent approach to capital allocation. But given where we are from a leverage perspective, I think capital allocation is definitely more back on the table than it's been, and we're looking to balance that with reinvesting back into the business and making sure that we can allocate capital to growing the business in a smart way that will generate the highest return.
Operator: [Operator Instructions]
W. Carlson: Operator, if I may, this is Erik. And Tommy, I know you got cut off on your question. I think we heard a little bit about private listings, happy to address. With the private listing discussion, our view really has not changed. We feel like transparency, broadest distribution for listings gives buyers and sellers the best outcome. As we've talked about a little bit before, obviously, we do have a vast network around the world. If there was a case where we had to participate in a broader private listing type network. I mean we'd be well prepared to do that. But philosophically, we think that the consumer comes first. It is the ultimate North Star not only for our brand but for our agents and our brokers serving buyers and sellers. And so we like the idea of transparency and the broadest distribution of listings. So sorry, you got cut off, Tommy, but I hope that helps.
Operator: There are no further questions at this time. I will now hand the call back to Joe Schwartz, Senior Vice President of Finance and Investor Relations. Mr. Schwartz, please go ahead.
Joe Schwartz: Thank you, operator, and thank you, everyone, for joining the call today. We hope everyone has a great weekend.
Operator: This concludes today's call. Thank you for attending. You may now disconnect.